Operator: :
 Good day, ladies and gentlemen, and welcome to the Cavco Industries, Inc.'s First Quarter Fiscal Year 2013 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host for today, Mr. Joseph Stegmayer, Chairman and CEO. Sir, you may begin. 
Joseph Stegmayer: :
 Thank you, Mary. Welcome, everyone. I'm going to ask Dan Urness, our Vice President and Chief Financial Officer, to begin the call and we'll go over some financial information, some general information and then take your questions. Dan? 
Daniel Urness: :
 Thank you, Joe. First, we are obligated to mention that we speak, today, under the umbrella of the Safe Harbor rules. Certain comments we'll make are forward-looking statements within the meaning of a number of securities acts. Cavco disclaims any obligation to update any forward-looking statements, and investors should not place any reliance on any such forward-looking statements. A more complete statement on this subject is included as part of Cavco's news release filed yesterday and found on Form 8-K and available on our website as well as through many other sources.
 Net sales for the first quarter of fiscal 2013 were $119 million compared to $99 million during the same quarter last year, an increase of 20%. The increase was primarily from the timing of the Palm Harbor transaction during the same quarter last year, with a closing date of April 23, 2011. The prior-year quarterly results include only 75% of the quarter's activity for Palm Harbor Homes.
 The company sold 2,239 homes during the first fiscal quarter, up 21% compared to 1,851 homes in the prior year quarter. Included in net sales this quarter was revenue of $10 million from our financial services segment.
 Consolidated gross profit, as a percentage of net sales this quarter, was approximately 20.3% versus 16.3% in last year's Q1. The percentage increase arose mainly from the retail and finance businesses obtained in the Palm Harbor transaction, which had inherently higher gross margins, and the timing of the Palm Harbor purchase last year. Higher home sales enabled us to benefit, somewhat, from product overhead leverage in our manufacturing business that produced homes at a capacity utilization rate of approximately 40% this quarter. Partially offsetting these benefits was a larger proportion of lower price point homes in our product mix.
 Quarterly selling, general and administrative expenses were $20 million, an increase of $3 million compared to $17 million in Q1 last year. Greater leverage of fixed costs reduced SG&A to 16.8% of net sales this quarter, down 0.4% from 17.2% during the same quarter last year.
 Other income was primarily comprised of interest earned from inventory finance notes receivable. Net income attributable to Cavco stockholders in the first quarter of fiscal 2013 was $860,000, compared to last year's first quarter net income of $10.2 million, with diluted earnings per share of $0.12 versus $1.48 last year. Net income attributable to Cavco stockholders, last year, included 1/2 of the bargain purchase gain recognized, consistent with Cavco's ownership percentage of Palm Harbor.
 At June 30, 2012, order backlog stood at approximately 20 million, which is fairly consistent with backlog this time last year. Comparing the balance sheets for June 30, 2012 to March 31, 2012, cash was up approximately $6 million, primarily from operating profits and a lower inventory balance at the end of the quarter, as our plan to reduce home inventory levels at each company on  location was completed.
 Consumer loans receivable and associated securitized financings were both lower, in connection with ongoing runoff of the underlying securitization loan portfolios. Construction lending lines were lower from reduced utilization, as the finance subsidiary has increased the use of internal funds for construction lending needs during the loan origination process. And finally, retained earnings grew by Cavco's applicable portion of net income. Joe? 
Joseph Stegmayer: :
 Thanks, Dan. Well, we're pleased that, again, we remained profitable for the quarter, as we have all through this -- past 2 years have been very tough for the industry. And it's encouraging to see shipment increases for the industry in total has now carried for 11 consecutive months, shipment increases, versus the prior year, comparable month.
 For 2012, year to date, industry production now totals 27,715 homes, up nearly 20% from cumulative industry production of 23,152 homes for the same period in 2011. We continue to see strength in states such as Texas, Louisiana, Alabama. And as we've mentioned in a previous call, North Dakota has basically come out of nowhere to be among the top 10 states for manufacturing housing  shipments in the country, largely driven, of course, by the oil petroleum boom going on in that state.
 We've mentioned before that our business is really dependent upon job growth and consumer confidence. And it's good to see, in this morning's news, that job growth was 163,000 for the month of June, much higher than was expected by most analysts, and after 3 straight months of less than 100,000 jobs per month.
 These are good signs, if they continue. There are some economists that state the job weakness is largely due to companies waiting to hire until after the U.S. presidential election in November. If they're right, probably, employment gains will stay weak for some more months and then pick up again. In any case, we're glad to see job growth, that will be key to seeing buyers coming back to the housing market, particularly manufactured housing. People simply will not buy a home -- will not consider buying a home if they don't have a job or if they're underemployed and they're not making  enough money to qualify. Secondly, consumer confidence is largely driven, for those who are gainfully employed, by the price of gas and the stock market. We're certainly seeing some relief for the price of gas across the country, and that trend seems to have some ability to continue. We're not sure about the stock market, of course. But we might ask, how does that affect our buyers? Well, we have many buyer who are in the 55-plus category and they're either empty nesters, considering retirement or are in the process of retiring. And these folks have 401(k)'s, personal investment portfolios. And if they're not confident about the stock market or about their 401(k) or even about Social Security, they might hesitate to make a home purchase or a second home purchase for winter living in destination areas such as Florida, Arizona, California and so on. Well, these folks are, and continue to, move slowly to make those purchasing decisions. We think, again, they'll eventually choose a new lifestyle in a planned community for 55-plus age group, where they can have activities, they have, generally, pretty nice amenities and they'll move out of their older site-built home. But that's not going to happen until, what I just mentioned, occurs and, in fact, they have a better opportunity to sell their existing site-built home. That too, seems to be improving. The pricing on home sales, in general, has been increasing. So perhaps these folks will be in better position to sell their existing home, let's say, in the Midwest, get a more appropriate price or more a price that they feel is more appropriate for it and move to a Sun Belt area. All of this has been hampered and slowed in recent years by these uncertainties.
 Housing starts rose nearly 7% in June, which is another good sign, in line with our manufacturing house shipment increases. So we do think there's a lack of inventory out there, and that's been reduced dramatically in recent years, including this past year. And so, if consumers starts to come back to look at buying houses, retailers, developers and community operators will have to buy homes to fulfill those needs. They will have the opportunity to sell from inventories they have in these past years.
 So, once again, we think things are aligned properly. We just need help from the economy. What can we do in the meantime, as we try to work on the things we can control?  And that thickens the things we've worked on, we've talked about in past calls. We'll work on gaining market share, gaining shelf space among the retail distribution.  We'll work on new home designs, price points, introducing a variety of price points to meet different needs in different geographic areas of the country. Things like age and place for designing new homes for people who are senior and want a home that is fully capable -- where they're fully capable to live in, but at the age  it's a more easier lifestyle for them. Some of the statistics are pretty impressive for this -- the opportunity for this particular market. 1 in 6 seniors presently lives alone. They’re either widowed or single.  38% of seniors over the age of 78 years of age live alone. They  have grandchildren come to visit them frequently. And 35% of Americans over the age of 68 rely mostly on Social Security payments for income. And the average monthly Social Security benefit for a retired worker in 2011 was $1,177 per month. So this is a prime candidate. This group are prime candidates for manufactured housing. It's affordable, it's energy-efficient, it's low-maintenance and we've designed units that make it easy for them to live in as they grow older and perhaps less capable. Such things as the light switches being at the proper height, receptacles -- electrical receptacles being higher up so they don't bend down as much, countertops being at certain levels, bathrooms to accommodate people who need assistance with walking -- with walkers, larger hallways and doors. These are things that we've done over the past couple of years to address that market. That's one example of how we've tried to adapt for -- to capture different markets that are developing good housing.
 We're very pleased, too, that we can continue to strengthen our balance sheet. As Dan mentioned, we did generate cash for the quarter. Our cash position was higher at the end of this quarter than it was last, and we expect cash to continue to increase as our earnings grow. So we have a strong balance sheet, a lot of flexibility, we have opportunities to continue to work on and improve our most recent acquisitions performance, which we're doing. So we feel pretty good about where we are, we can't do much about the economy. But we think we're certainly positioned to take advantage of any improvement in that economy, in the months and years ahead.
 I think with that, we'll be happy to take any of your questions. So Mary, if you'd like to bring those on. One last comment I'd like to make, there, before we begin. It is that, for those of you listening, either on the call or on the website, we will be in New York, Dan and I, in September. September 11, 12 and 13 to be exact. If anyone on this call would like to meet with Cavco management during that time period in New York City, please contact us. Mary, please open up for questions. 
Operator: :
 [Operator Instructions] And we have a question from Greg Cole from Sidoti. 
Greg Cole: :
 I guess, how much further do you think single units can go as a portion of your sales? I mean, do you see that making up -- continuing to make up a larger portion? 
Joseph Stegmayer: :
 Greg, it may well. It really, again, depends on the economy. The single-sections, I think, have been driven -- single-section increases have been driven by a couple of factors. One, of course, is the economy. People buying less house -- the house they can't afford. Single-sections, by nature, are generally somewhat smaller in square footage, so therefore less cost. They're easier to deliver and to install at a consumer's site, so there's less expense in that portion of the equation. The second reason, of course, is that some of the single-sections is driven by the activity in North Dakota, where the oilfield housing is often done in single-section format. But it's primarily the former reason that single-sections are increasing. And so if the economy remains kind of in the condition it is now, we probably will see continued emphasis on single-section homes. Perhaps not increasing so much, as maintaining this 50-50 kind of relationship, which is somewhat unusual for us. And then, as the economy improves and financing -- the financing picture improves in general, including more availability of financing, better appraisal process, I think the multi-section homes will increase and probably will get to a slightly higher weighting waiting of multi-sections to single-sections. 
Greg Cole: :
 Okay. And are gross margins pretty much similar on single-section versus multi-section? 
Joseph Stegmayer: :
 They can be. However, I hesitate because, again, in this economic environment, if people are buying a very basic home for their shelter, they not going to have -- they're not going to buy the larger home or the home with more amenities. And so, by nature then, the margin's going to be somewhat lower. A multi-section buyer might have a little bit more to work with and might put more amenities in the home. So both models, I would tell you, our single-section and multi-section, are both challenged by this economy. That is, both homes are -- both product lines are generally smaller than they've typically been, with less amenities. But, I was saying -- probably the shortest answer to your question, they're generally similar.  The single-section might have slightly lower margin, typically, than the multi-section. 
Greg Cole: :
 Okay. And were there any spikes, in either direction, from financial services with the insurance subsidiary.  Did it have -- did it do much better or worse than any of the previous quarters? 
Daniel Urness: :
 Well, they're pretty consistent. They fluctuate based on claims activity and premium growth. But, all in all, those 2 subsidiaries we have, that operate in our finance segment have been fairly consistent. So the ups and downs, between the 2, have been offsetting. So the segment has been pretty consistent. We don't break those 2 subsidiaries out separately, as you're aware. 
Greg Cole: :
 Right, okay. And do you know how much -- do you know when the Standard Casualty should have its call reports online? When are those going to be filed? 
Daniel Urness: :
 They have a statutory reporting deadlines that occur in the middle of the summer. The other regulatory reporting deadlines, we'd have to check on. 
Greg Cole: :
 All right. And then, CapEx was pretty small this quarter. I mean, are you expecting this to meaningfully increase throughout the year or is this kind of a good level? 
Daniel Urness: :
 Well, we're anticipating that it'll be a little bit higher than this throughout the year. I would say about $1.5 million a year in CapEx, kind of on a maintenance -- little below depreciation. 
Operator: :
 Our next question comes from Howard Flinker from Flinker & Co. 
Howard Flinker: :
 How much was your interest or investment income in the quarter? 
Daniel Urness: :
 Our investment income for the quarter was $395,000, if you're referring to our investment and inventory finance for our wholesale homebuyers. 
Howard Flinker: :
 Yes. On the abbreviated version of your quarterly statement, other income -- I see it.  I was reading the wrong line. I saw 0, the $395,000. I misread the lines. And remind me of what the seasonality is. Are your second and third quarters your strongest or your first and second quarters your seasonally strongest? 
Joseph Stegmayer: :
 Our fourth quarter, historically, has been our strongest. That has changed somewhat in recent years, because of these acquisitions and we're more geographically diverse. The fourth quarter used to be fairly significant to us, because in the Southwest markets it would have -- in addition to the normal spring selling season, you'd also have the winter visitors coming in and buying homes, either second homes or retirement home. That has been mitigated somewhat, as I say, by the fact we're in so many other states now, with the Fleetwood and Palm Harbor acquisitions. So I would say we don't have a strong bias for 1 quarter seasonality over the other at this point. 
Howard Flinker: :
 So, roughly equal all 4 quarters, give or take? 
Daniel Urness: :
 Well, with the exception of the December quarter, where things tail off typically. 
Operator: :
 [Operator Instructions] I show no further questions at this time and would like to turn the conference back to Mr. Joseph Stegmayer for closing remarks. 
Joseph Stegmayer: :
 Thanks, Mary. Well, we appreciate you joining. We will be, as I say, in New York here in about a month. And will be happy to meet with any of you folks who are up in that area. If you choose to, please call either Dan or I. Dan or me, I should say. And we appreciate you being on the call and we look forward to talk with you once again. Have any follow-up questions, feel free to call us. Have a good day. 
Operator: :
 Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may all disconnect at this time.